Operator: Good morning, ladies and gentlemen, and welcome to the Blade Air Mobility Fiscal Third Quarter 2022 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference call over to Mr. Lee Gold, Investor Relations. You may begin.
Lee Gold: Thanks, and good morning. Thank you for standing by, and welcome to the Blade Air Mobility conference call and webcast for the quarter ended September 30, 2023. We appreciate everyone joining us today. Before we get started, I would like to remind you of the company’s forward-looking statement and Safe Harbor language. Statements made on this conference call that are not historical facts, including statements about future time periods, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties, and actual future results may differ materially from those expressed or implied by the forward-looking statements. We refer you to our SEC filings, including our annual report on Form 10-K filed with the SEC, for a more detailed discussion of the risk factors that could cause these differences. Any forward-looking statements provided during this conference call are made only as of the date of this call. As stated in our SEC filings, Blade disclaims any intent or obligation to update or revise these forward-looking statements except as required by law. During today’s call, we will also discuss certain non-GAAP financial measures, which we believe may be useful in evaluating our financial performance. A reconciliation of the most directly comparable consolidated GAAP financial measures to those non-GAAP financial measures is provided in our earnings press release and investor presentation. Our press release, investor presentation and our Form 10-Q are available on the Investor Relations section of our website at ir.blade.com. These non-GAAP measures should not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. Hosting today’s call are Rob Wiesenthal, Founder and Chief Executive Officer of Blade; and Will Heyburn, Chief Financial Officer. I will now turn the call over to Rob Wiesenthal. Rob?
Rob Wiesenthal: Thank you, Lee. Good morning, everyone. We are very pleased to deliver our first quarter of positive free cash flow and positive adjusted EBITDA while maintaining rapid revenue growth in both the Passenger and Medical segments. Revenue in the quarter ending September 30, 2023 increased 56% to $71.4 million versus $45.7 million in the comparable 2022 period. We achieved free cash flow of $1.3 million in Q3 2023 a $7.8 million improvement from Q3 2022, while adjusted EBITDA of $0.8 million in Q3 2023 improved $5.3 million versus Q3 2022. Importantly, as we turn the corner to profitability, we are doing so without sacrificing revenue growth. Starting in Passenger. Short Distance delivered another quarter of significant growth with revenue up 49% year-over-year driven by our acquisitions in Europe and improvement across our entire Short Distance route network. We are especially pleased that our flagship urban air mobility service, Blade Airport, enjoyed continued improved financial performance with strong revenue growth in addition to positive flight profit contribution for the first time during Q3 2023. Airport is one of our most important growth vectors for the passenger business as it will be the very first use case for electric vertical aircraft, EVA or an industry parlance eVTOL. But the ramp up has required patience from both you, our investors and our management team. It’s taken two years of steadily growing our passenger volumes, route offerings, average checkout price and seat utilization to reach today’s critical profitability milestone. In Q4 2023 quarter-to-date, we’ve seen solid seat growth that we expect will unlock continued incremental profitability for airport in the future. We have also made great progress in optimizing our aircraft capacity agreements to capitalize on our growing scale, enabling Blade to benefit from the economic leverage of a more active fleet. We are already seeing this translate to flight profit margin expansion in both our Medical and Passenger segments. This is a win-win both for our operators and our customers as we direct more flight hours to our most reliable and efficient aircraft providers. In Jet and Other, we also saw strong growth as revenue increased 49.1% to $7.6 million. Our growth across passenger coupled with our turn to profitability in the airport contributed to a significant 88.7% increase in Passenger segment adjusted EBITDA to $2.8 million for Q3 2023. On the strategic front, we continue expanding our infrastructure footprint. In Atlantic City, we partnered with Ocean Casino to create an exclusive Blade heliport allowing our flyers to land directly at the resort. Charter service is available today and by the seat service backstopped by Ocean Casino is planned for spring 2024. In France at Nice International Airport the opening of an on-tarmac security checkpoint will enable our flyers to bypass crowded terminals and proceed directly to their commercial airline gate after landing on a Blade helicopter. This will reduce the travel time between the Blade helicopter arrivals and the commercial gate by 45 minutes or more for all of our European urban air mobility products where passengers are connecting to airlines in Nice. This is consistent with our infrastructure strategy around the world. We are able to leverage our significant passenger volumes and brand recognitions to strike partnerships with infrastructure owners that provide unique access to terminal space, improving the passenger experience with limited cost. These arrangements are a win-win for all parties and will provide an important strategic advantage as we begin to transition from conventional rotorcraft to EVA in the coming years. We made important progress on the EVA front just last week as our operator for Blade Canada, which operates as Helijet, placed an order for the Beta Technologies Alia Electric Vertical Aircraft, which is expected to provide quiet, emission-free air mobility service for Blade flyers in Canada. This order is for the same aircraft that Blade recently utilized during our first EVA test in the New York City area in Q1 Now, we’ll turn to Medical where we delivered 65% organic growth driven by continued new hospital wins, business expansion with existing hospitals and strong end market growth. We continue to demonstrate the strong operating leverage of this business with Medical segment adjusted EBITDA increasing 123.8% to $3.3 million. We’re also excited to announce the launch of our new organ placement service, an offering that has been requested by a significant portion of our existing customers. This new business line, which goes live on December 1, brings us further upstream in the organ transplantation process by helping transplant centers determine if an organ is a match for a potential recipient. When paired with our existing logistics services, we can now provide even more seamless engagement, simplify the communication process for our customers and increase our revenue per transplant. The wider the breadth of our services we offer our hospital clients, the more we can help them and the deeper we become integrated in their mission to save lives. I’ll let Will provide some additional details on the unit economics shortly. As evidenced by this quarter’s results, we remain on track with our commitment to deliver a meaningful improvement in full year adjusted EBITDA in 2023 versus 2022, and we also expect further year-over-year adjusted EBITDA improvement in Q4 of this year. Looking to 2024, we expect even better results with significantly improved adjusted EBITDA versus 2023. We plan to provide guidance for both the full year 2024 and 2025 as part of our Q4 2023 earnings release. With that, I’ll turn the call over to Will.
Will Heyburn: Thank you, Rob. Our turn to profitability this quarter highlights the results of our strong execution on growth initiatives coupled with relentless focus on cost efficiencies as we shrunk adjusted unallocated corporate expenses by 29.0% while still growing revenue 56% in Q3 2023 versus the prior year period. We tactically optimized corporate overhead while staying focused on our customers to maintain the seamless experience we’re known for in both our Passenger and Medical businesses. I’ll now walk through a few highlights from our business segments in the third quarter. We’ll start with Medical, where revenue increased 65% to $33.4 million in the third quarter of 2023 versus $20.2 million in the comparable 2022 period. Approximately 45% of this quarter’s growth was driven by the addition of new customers, with the remainder driven by growth with existing clients as well as strong overall market growth. As discussed during last quarter’s earnings call in Q2 2023, we supported a non-contracted customer on a temporary basis that should not reoccur. Excluding this customer, Q3 2023 would have seen low single digit sequential growth versus Q2 2023. In addition to strong overall volume growth, we continue to see increases in flight hours per trip versus the prior year period as transplant centers have shown a willingness to fly farther to enable a transplant. Medical segment adjusted EBITDA was $3.3 million in the current quarter, an increase of $1.9 million, or 124% versus $1.5 million in the comparable 2022 period. We’re happy to see EBITDA growing faster than revenue, which reflects growth coupled with our ability to bring in dedicated aircraft capacity behind our new customer contracts. This lowers costs and increases reliability for our customers by eliminating aircraft repositioning while enabling better flight profit margins for Blade. With respect to the forward outlook for our Medical segment, we expect to average low single digit percentage sequential growth in the coming quarters, but keep in mind that Q4 historically has exhibited mild seasonality and thus we expect revenues to be flat or lower sequentially for this Q4. We expect flight margins in the 18% to 19% range for Q4 2024, with continued steady improvement towards 20% plus in the future. Medical SG&A should grow in the low single digits sequentially over the next couple of quarters as we ramp up our new organ matching service. On that front, we’re pleased to announce the launch of Trinity Organ Placement Services, or TOPS, with two key customers on December 1, 2023. In this new role, we will benefit from fixed annual contracts, typically between $0.5 million and $1.5 million per year, depending on the size of the transplant center. Over time, we hope that many of our 70 plus existing contracted customers will choose to vertically integrate with us for organ placement as well, and we also expect that some centers with other transportation providers will utilize these services. Our two launch customers will cover the fixed cost for this new business, while we expect contribution margin to be in line with our overall medical average in 2024 as we scale up. Finally, for Medical. There seems to have been some confusion in the marketplace recently after a perfusion device manufacturer began to bundle aviation services with their device. We estimate that 10% to 15% of our trips this quarter utilize this specific device. We’ve not lost a single contract to this device company, though we take all competition seriously. At the end of the day, we found that our pricing can be as much as 50% lower given our lower cost platform and our scale in terms of trips, geographies and number of dedicated aircraft. As such, we believe that the impact to our business will be minimal. Turning to the Passenger business. In Short Distance revenues were up 49% to $30.4 million in the third quarter of 2023 versus $20.4 million in the comparable 2022 period. Growth was driven by our acquisition of Blade Europe, which closed on September 1, 2022. Growth in our Blade Airport business and strong growth across the rest of our Short Distance portfolio. As Rob mentioned, airport was a positive contributor to flight profit for the first time, meaning that it covered all costs related to air and intraterminal [ph] ground transportation for our flyers. Europe was soft relative to our expectations, slightly dragging down our adjusted EBITDA this quarter. Flexibility is a key benefit of our asset-light model, and we’re taking this opportunity to right size our European business for the opportunity ahead, optimizing our cost structure and accessible aircraft fleet to match demand. We’ll have more to share on this front as part of our Q4 earnings release. Passenger segment flight profit increased by $3.3 million, or 54%, to $9.4 million in the third quarter of 2023 from $6.1 million in the same period of 2022. This increase was attributable primarily to the acquisition of Blade Europe, which contributed in only one month of the 2022 period. Also contributing were higher jet charter volumes, increased seat utilization and average seat pricing for Blade Airport and profit growth across the rest of our U.S. Short Distance portfolio. All of this led to an 88.7% increase in Passenger segment adjusted EBITDA to $2.8 million in the third quarter of 2023 versus $1.5 million in the prior year period. Looking ahead for Passenger. In an effort to tighten our focus on the highest growth and most profitable business lines, we opted to discontinue our buy the seat jet service between New York and South Florida. As a result, when coupled with an expected year-over-year decline in jet charter volume, we expect jet/other revenue to be approximately $2 million lower in Q4 2023 versus Q4 2022. In Short Distance we expect revenue to increase in Q4 in the low single digits year-over-year. Overall Passenger segment flight margins should improve by 100 basis points to 200 basis points year-over-year next quarter given airports turn to profitability. We continue to optimize corporate costs as adjusted unallocated corporate expenses and software development, which relate to the overall Blade Shared Services platform, decreased $2.2 million, or 29% in Q3 2023 versus the prior year period despite our significant growth. We’re pleased to see that Blade’s underlying operational platform is creating economic leverage and we continue to look for opportunities to optimize our cost structure to drive further operating expense leverage. As we look to the fourth quarter of 2023, we expect total adjusted unallocated corporate expense to remain roughly flat sequentially. When you roll up the segment level Q4 2023 guidance we just walked you through, you should arrive on a consolidated basis at approximately high 40s revenue flight profit margin in the mid-to-high teens and adjusted corporate expenses in the $13 million to $15 million range. This would result in solid year-over -year improvement and adjusted EBITDA in Q4. As Rob mentioned, we also expect to see significant year-over-year EBITDA improvement for full year 2024 and we plan to provide a detailed outlook for the full year 2024 and 2025 as part of our Q4 2023 earnings release. With respect to our balance sheet, we continue to have zero debt and approximately $173 million in cash and short term securities as of the end of the third quarter of 2023, an increase versus Q2 2023. Given our improving financial performance, we expect a significant majority of our cash to be available for acquisitions. In closing, our hard work continues, as we remain committed to expanding flight profit margins, optimizing our cost base and adding profitable new business lines like our new organ matching service to maximize free cash flow generation. With that, I’ll turn it back over to Rob.
Rob Wiesenthal: Thank you, Will. In short, we are proud of the work the team did to deliver outstanding third quarter results and our first positive adjusted EBITDA and free cash flow quarter. We look forward to building on this momentum as we continue to drive towards overall corporate profitability. We look forward to providing full year guidance for 2024 and 2025 during our Q4 earnings announcement. I’ll now turn it over to Lee for questions.
Lee Gold: Thanks Rob. We’ll start by taking questions from the analyst community and we’ll follow with a few questions from the Say Q&A platform. I’ll now turn it over to the operator for analyst questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Hillary with Deutsche Bank. Your line is now open.
Hillary Cacanando: Hi, thanks for taking my questions and congratulations on the great quarter. I just want to get a better understanding of how your new tops business works. You said the two contracts; I think you said – $0.5 million to $1.5 million. How long are the contracts and how long do you expect the contracts to be in general? And then also how do you actually match the organ for a potential recipient? Like what is your exact role? I just want to get a better understanding of how you do that?
Will Heyburn: Thanks for the question. Hillary, Will here. So really exciting. We’re essentially moving upstream in the process with our customers. So right now, once the center has accepted an organ, that’s when Blade gets pulled into the loop to help with the logistics. Now, we’re going to be part of the conversation at the moment that the center receives an offer. So essentially what happens, right is the organ procurement organization is responsible for coordinating with the potential donor. They’re uploading some information about that donor and the donor organ to the UNOS database, and then that database is matching organs to potential recipients based on the database and then making offers. That’s now when Blade will be involved, working on behalf of our customers to continue through the various matching criteria that they may set to see if they want to accept that offer for an organ. So it’s going to help in a lot of different ways. One, it’s just going to streamline the process for communication. But two, you’re going to get more of a heads up when a potential organ could be coming down the pipe. So it allows us to be much more efficient on the logistics side in terms of picking aircraft that might need less repositioning, and it’ll be lower costs for the center. So there’s a lot of benefits to doing this both for the center and for our business in terms of efficiency. And on the unit economics side, you’re right that the contracts tend to be between $0.5 million and a $1.5 million a year. Typically annual commitments is what we’re going to see in this business. And it’s based on the expected volume of organs that we think that center is going to accept. So that’s kind of how we do the pricing. And ultimately you’re getting dedicated 24/7 resources from Blade to help you make that evaluation. And that’s what you’re paying for.
Rob Wiesenthal: And then one thing, it’s Rob speaking. The more we’re integrated with the hospitals, the more services we provide, the more ballast it provides us to continue providing our air transport services for the hospitals. So it’s a big power driver for increased contracts and happy customers.
Will Heyburn: And did I miss the second part of your, Hillary?
Hillary Cacanando: No, no. That was very helpful, very detailed, and very easy to understand. So congratulations. It sounds like an exciting opportunity. And then my second question is, just even opening the on-tarmac security checkpoint at the Nice Airport also sounds like something that most passengers would really appreciate. So is that something that you could also do in New York as well sometime in the future?
Rob Wiesenthal: Let’s talk about Europe. This is of no cost to us. We have – this is a real competitive moat in the sense that there’s a concession agreement, obviously, for us to fly intercompany between Monaco and Nice. So the ability for people to fly either into Nice from New York or wherever or when they return to be able to go from straight from Monaco say, to New York, and literally land by helicopter, bypass the internal security, do their security on the tarmac, go straight to their gate, will save literally 45 minutes. And obviously, this is something that we’re keenly focused on in New York. We have the very first international airport helicopter lounge in the country at Newark International Airport. And we’re obviously looking forward to working with the Port Authority and our airline partners to see if we can do something similar here. But obviously, that’ll take some time.
Hillary Cacanando: Okay, sounds good. So it does sound like something that you can look into and something that could happen potentially.
Rob Wiesenthal: No, I think everyone wants it, and it’s just a question of how and when.
Hillary Cacanando: Okay, great. Thank you so much.
Rob Wiesenthal: Thank you.
Operator: Thank you. One moment, please, for our next question. And our next question comes from the line of Jason Helfstein with Oppenheimer.
Jason Helfstein: Hi, everyone. How are you doing? So a few questions. Can you, Will just elaborate a little more that the single customer you were talking about was that Medical or on the Passenger side? Just – can you elaborate a bit there? That’s the first question. And the second question. It seems like, obviously, there’s a lot of concern about consumer spending. It seems like there’s kind of this maybe like a sweet spot for you that you’re potentially seeing certain folks maybe downgrading from some services to you, but just maybe, Rob, your comments just about kind of what you’re seeing kind of overall demand relative to consumer spending levels. And then I guess, obviously, while investors, I presume we’ll be applauding the move to break even in the quarter and kind of the improved outlook for the fourth quarter. You still have a lot of cash. What should investors assume you do with the cash, given that even if you lean into some growth next year, you won’t spend that much money? Thank you.
Will Heyburn: Actually, great question, Jason. I’ll take the first one on. The temporary customer was in our Medical business. This is what we talked about last quarter. We had a non-contracted customer that needed some help. It turned out to be material to that quarter. It’s not reoccurring. They have essentially a dedicated local operator to them that they’ve used for many years and they’re back to using them. But whenever people have a temporary disruption, we’re always there to help. But wanted to give you the guidance that there still would have been low single digit sequential growth if we hadn’t helped them out during the Q2 period. And I’ll let Rob take the one on consumer spending.
Rob Wiesenthal: And like I said, with the cash as well. All right, so let me take the cash one first. Yes. We added to the cash balance of our company this year, this quarter I mean this quarter from what, $170 million or $174 million [ph], roughly. And we hope to continue doing that in the years to come. So we do have a lot of cash. The good news from our perspective is obviously the debt markets are closed, valuations on the private side are down. And if there’s ever been a better time for us to make purchase, strap on, kind of bolt-on acquisitions for Medical, where we see a lot of opportunities and maybe some other places, now is the time. But they have to be something that low risk in terms of integration, accretive day one, and really where the platform we built can supercharge the value to us. And we’re looking at those, and we’re seeing those every day. So that’s something that’s number one. Number two, we are economic value animals. We do not believe the share price represents accurately the value of these assets. If I thought there was a way at some point to do a stock buyback where our liquidity wasn’t compromised, that’s something we’d entertain that requires different financial technologies and a different kind of environment. But we’re open to any type of tool in our toolbox that we can accelerate the stock price to start representing, the accurately represent the value of our assets, because right now it’s just not doing that. But obviously today is a great day in terms of proving that we can actually add free cash flow to the company. And then your next company question was?
Jason Helfstein: About consumer spending...
Rob Wiesenthal: Consumer spending on the consumer spending side, here’s what we’re seeing. The 27 million people that go to the airport each year, that is such a huge or to and from the New York City airport, that is such a huge tam Jason. That I’m not seeing it there. In fact, we’re seeing increased average checkout prices, now that are lowering are the number of passengers that we need to be positive cash flow for each flight. What we are seeing in a bit is there was definitely a shift this summer for leisure routes like the Hamptons, a little bit from charter to by the seat. So I definitely saw the kind of, let’s call it the ultra high net worth guys who might be charting their own helicopters, some who even own their own helicopters when they were flying alone, as opposed to a family buying a seat on Blade. So on one hand, you could say that reduced the number of charters, but it increased our most important business, and the one with the potential for the highest margin. Highest Tam, which is our buy the seat business. So we did see it a little bit there. So any other follow ups on that, Jason?
Jason Helfstein: Yes, I mean just and then on the jet side, this was obviously like a pretty good jet quarter. I mean, how are you thinking Jet and other. How are you thinking about that going?
Rob Wiesenthal: Jason, it can be variable and difficult to predict. On the one hand, you’ve seen some press. There’s definitely some corporate customers that want a charter, and maybe you see a little bit less of people using corporate planes, and you see people wanting the anonymity of flying with a tail that can’t be tracked specifically to them. But it’s hard for us to predict that business. And so I think it’s not going to be quite as strong in Q4 as we talked about in the script, but it’s a great business, and at the end of the day, it’s incremental flight profit dollars for us. 
Will Heyburn: Jason, I’m going to take a slightly more optimistic position than my colleague here, but we are being cautious about it. There are tons of companies out there that basically went out and bought a lot of aircraft to service, essentially what was pandemic error spending. Okay. So a lot of these jet, a lot of companies out there raised a lot of money to increase the jet business, thinking that this would continue past the pandemic. And for a couple of those companies, it ended up being essentially the peloton [ph] of the air. All right. Those aircraft are now basically searching for emissions. So I actually think there’s a very good chance, haven’t seen it yet. Be cautiously optimistic that this, our big winter season, north south, that we’re going to see a lot of availability and hopefully better prices. Can’t count on it, but it’s definitely something that we see moves in the market out there of a lot more availability because of this big ramp up by a number of companies that you’re well aware of.
Jason Helfstein: Thank you.
Operator: Thank you. One moment please, for our next question. Our next question comes from the line of Bill Peterson with JPMorgan.
Bill Peterson: Yes. Good morning and nice job to achieve the free cash flow milestone and have a few questions. First on Short Distance. So I’m guessing the profitability is now driven by the mature route West 30th to JFK. I guess. How should we think about the profitability for, it’s presumably that’s true. How should we think about the path of profitability for unprofitable routes? I’m guessing Newark. And then as you now are profitable, how should we think about expansion into other airports maybe LaGuardia, maybe using East 34th, things like that?
Will Heyburn: Well, I’ll start just on the profitability front. The whole airport business was flight profit positive in the quarter. So that’s not just covering the flight cost, that’s covering the cars on the ground and everything. And though the longest standing route from the west side of Manhattan to JFK is the most profitable, we’re now seeing profitability from all the routes. The ones that haven’t had as much time, they’re not contributing as much. But we’re really excited at the progress that we’ve made. And it’s been a long time coming, and we’ve had to be really patient. And as we talked about in prior calls, we’re coming at it from both angles. We got more passengers flowing through the system. But in addition, we’re seeing passengers elect to pick more flexible fare options. They’re going for upgrades. It’s raising that average price per seat, which makes it easier to get to that profitability level, too. So we’re really pleased that it’s across the routes and, as we talked about in the script, still seeing really strong growth in the number of seats flown quarter-to-date. So the best is yet to come. And I’ll let Rob talk a little bit about route expansion.
Rob Wiesenthal: Yes. So look, I take a look at it, and there’s no question that our JFK route is the flagship route for Blade. It’s consistently profitable, it’s high margin, and it also offers the biggest time savings, especially from the west side to JFK. We’re literally saving up to two hours for people who would normally drive from the west side. Newark, I think is doing fine. It has profitability. East side to west side. I think we have to be very careful because east side to JFK, there’s a little bit of cannibalization. We have to be careful about where people are in between both of those. So we’re kind of programming those carefully. So our goal is really like, get this into profitability. And now exactly, we were saying, let’s analyze day parts that may not be flying as much. New routes, LaGuardia, as they start getting through all their construction. There’s a lot of construction there. We need a good service on the ground. And right now, if we can get you from the helicopter to your airline in two minutes, that’s great. But if you’re going through five, 10 minutes of traffic, that’s longer than your flight. And right now, that’s where we are. Right now, we’re looking forward to LaGuardia finishing a lot of their construction. You know that we opened one of the first new teleports in New Jersey. And that one we’re using charter only. We see some opportunity for very low risk by the seat, potentially. We’re also looking hard at Westchester to New York, where there are a lot of commuters coming from the greater Connecticut Westchester area. Again, don’t expect us to sit and invest in that and compromise profitability. We think there are ways of us starting that on kind of a risk free basis. You heard about Atlantic City. That’s a backstop deal. So we do not take risk and utilization. So we’re really looking hard of ways of kind of starting new routes that can add onto our platform without incremental cost, where we are not taking any type of risk in terms of utilization or minimizing that, where it makes sense to actually take that leap and get into something. So growth is really important to us. So I do see a lot of opportunity here. And also as we finish our integration in Europe, which is our number one priority, seeing the other opportunities in Europe like Milan and elsewhere.
Will Heyburn: And remember, Bill, with the asset light model, it’s really easy and low cost for us to add frequency to routes that are going great. So West 30th, particularly in the afternoons to and from JFK on a Thursday, Friday. I think one of the first things you’ll see is increasing the frequency so that you got an option every 20 minutes, every ten minutes. That’s something that’s easy for us to do with the asset light model. And given that it’s you already have a base of profitability during those day parts, you’re not taking risk on dragging down your overall profitability. So there’s lots of options for us.
Bill Peterson: Yes, no, thanks for the comprehensive answer on the metamobility. You spoke a little bit about competition, but I guess it’s been a while since we’ve kind of heard how you see your share trends or maybe the market opportunity as this market’s grown, as you kind of pointed out in your slide deck, how should we think about your current share and forward market opportunity in this space, as well as your competitive modes?
Rob Wiesenthal: We think we have a lot of opportunity to grow in a market that’s growing really fast. So shares is probably for kind of core, heart, liver, lung, air transportation. We think we’re probably in the high 20s in terms of our share there. Where we’ve been grabbing incremental share is really through vertical expansion. We’re doing a lot more of the ground ourselves. Now, we talked about how we have some owned vehicles and areas of density. We pay those back in just a matter of months, and then we’re making 30% plus margins on the ground. We’re making the experience much more integrated for our customers. And now with the introduction of TOPS, we’ve got another service that we can provide those same customers just to make their lives easier and make the process smoother. So I think you’ve got those vertical expansions that are already in progress, that are above and beyond just core, heart, liver, lung, air transportation. And then I think there’s a big opportunity to continue grabbing share. It’s a very fragmented market, as we’ve talked about at length. And as we have more scale in aviation, that means our costs are going down. That means we can have more aircraft that are dedicated 100% to Blade. We can put more hours on those aircraft. And that ultimately makes the cost that we have to charge our transplant center lower and makes us much more attractive. So I think we’re really firing on all cylinders. And Rob talked a little bit about there’s definitely some opportunities for horizontal expansion into other critical cargo or thinking about acquisitions we could make that could make the medical business even more efficient. And so we’re exploring all those things simultaneously in a market that we’ve seen months where heart, liver, lung transplants are growing just units in the mid to high teens. So the market itself is incredibly healthy. And as we talked about in the script a little bit, we’re still seeing huge growth in number of flight hours per organ as transplant centers are getting more aggressive. So lots of different growth vectors that we’re excited about. Frankly, we’re just trying to make sure that we keep up and we give our customers that fantastic service that we always say yes, because that’s the most important thing to our long standing contracted customers, that when we pick up the phone we have a plane for them and it can be there on time.
Bill Peterson: Okay, if I could sneak in one mean where the shares are trading effectively at cash at this point, what type of M&A or opportunities for expansion look most attractive know passenger like outside of the U.S., more vertical integration opportunities with metamobility, cargo, something else we’re not thinking about.
Will Heyburn: Sure, I let me take that. On the passenger side, we are now in the three largest vertical transportation markets in the world. Northeast U.S., Southern Europe, in Canada. Then obviously we have a small joint venture in India. So until electric vertical aircraft are here and we have more landing zones, I can’t tell you we see anything compelling yet on the passenger side. And I think there’s so much addressable market in each of our passenger verticals where they are, as I said, the three most important, largest opportunities and markets that are today, that our best use of time and money is making sure that we kind of build those into what they can be with expanded routes on a profitable basis. So the number one area that I see and we see as a company in terms of M&A is on leveraging our medical business. And that could be horizontal expansion in the existing medical business like you see with TOPS, which I think is going to give us a hell of a lot more firepower in terms of offering a compelling offering to our hospital clients and being able to maintain and extend those relationships going forward. But also, as will mentioned, critical cargo. You could be radioisotopes. We could move into other aspects of the organ business. We’re not in kidneys yet, that next slide out, but a lot of religious services could be useful to that. So clearly, when you’re moving as many pieces of critical particle 24-hours a day, there are other things to move and things are moving fast and people want things now. There’s parts that need to be sent on demand for machinery, for even aviation itself. So we’re seeing those opportunities every day. Some of them are bite size, some of them are in size, but we clearly have the balance sheet to do those and to do those quickly and without necessarily any type of incremental debt.
Bill Peterson: Okay, thanks for all the insights.
Will Heyburn: Thank you.
Operator: Thank you. One moment please, for our next question. Our next question comes from the line of Itay Michaeli with Citi.
Itay Michaeli: Great, thanks. Good morning, everyone. Just a couple of questions. First, maybe a few financials. Will, I think you mentioned for metamobility an outlook for 20 plus percent flight margin. I think it’s a little bit better than what we talked about in the past around mid teens. I’m hoping you can talk a bit more about that. And then secondly, I was hoping you could quantify the drag from Europe on flight margins this quarter as well.
Will Heyburn: Great question. As you know, on the medical side, it’s really all about more reliance on those dedicated aircraft. When we grow really quickly, like we’ve been growing, we’ll be servicing a significant amount of our demand through the charter market. Then what we do is, behind those contracts with hospitals, we’ll dedicate supply that’s located in the right locations to eliminate repositioning. And that’s how we can. You’ve seen those flight margins creep up quarter-by-quarter, and that’s how ultimately we can start to get above that 20% level. And the other thing that we talked about in the past is bringing in dedicated vehicles. We use a lot of third party grounds when we’re growing quickly, but we have so much scale in a lot of markets now, it can be a lot more efficient, a better service we can provide and at a lower cost to our customers if we go ahead and buy our own lights and sirens, SUVs, and then provide that ground transportation ourselves, and then that gets us to kind of 30% plus flight profit margins on the ground portion. So there’s a lot of different levers that we can pull and TOPS once we get to scale, which we talked about kind of covering our initial fixed cost with the first two customers that are launching in December, but getting to average medical flight margins in the full year 2024, that’s going to pull up our margins a little bit as well, too, once we get to scale there. So a lot of different things that are helping us get to those good, solid margins. And then you see our overall SG&A in that business not growing nearly as quickly. So you’re getting that operating leverage. Does that answer your question on that?
Itay Michaeli: Yes, perfect. Maybe the flight margin drag from Europe this quarter, I don’t know if you can quantify that.
Rob Wiesenthal: So Europe actually has a little bit better flight profit margins than sort of the corporate average. It’s a good guy on that front, where it was a little bit disappointing for us was just on the overall cost side. We’ve talked about this. There were three different businesses that needed to be integrated for a lot of reasons. We decided to be more cautious on that integration process, which increased our cost. So that was really the disappointment. We’re not going to go into sort of specific numbers on a region in terms of EBITDA contribution, but we’re really on the right path there in terms of right sizing the cost structure and right sizing the fleet availability for the opportunity.
Will Heyburn: Yes, I think I would say just add on to that, when you think about generally your cost per seat and your cost of aircraft, the fact that that is one of the best margins in our Passenger segment. The cost side is a lot easier to manage than improving your flight margins in terms of just what you charge versus the cost of the aircraft. The cost of the aircraft that’s a very difficult thing to kind of get down. In terms of kind of the cost below that line integration and common shared services that’s something that’s a much easier lift. So we’re definitely optimistic looking forward with that business for 2024.
Itay Michaeli: That’s very clear and helpful. If I could just sneak in one last question on Blade Airport. The momentum you’re seeing, including thus far in Q4 for the seat growth, I’m just curious. One, do you think you’re taking share from rideshare? And second, just maybe just talk about like repeat flyers and kind of what you’re seeing there in terms of that incremental momentum you’re seeing?
Rob Wiesenthal: Sure, maybe we’ll do on the repeat flyers, because I have some data on that. But look, we are one of one. Our competition is ground, okay? And if you take a look at the average cost of an Uber right now, the amount of time it takes, you can have an Uber Black that goes between $195 or way over $200 with an airport pass, we’re down to kind of $95 in terms of price. So that is really the alternative that people are looking at. But I’ll also mention that from a marketing perspective, we’re getting those people the moment of truth. We have a marketing venture with Uber where if you are going to or from the airport or to or from a hotel, you will actually get served with an ad that allows you to divert your car to a Blade lounge to take your flight, which is extremely cool, because that’s exactly where you want to do it. You’re sitting in traffic and all of a sudden you get in the car and you’re worried about how long it’s going to take to the airport. You want that certainty, and you have that ability right through the Uber app to use our marketing message and get have a diversion. And so – and then in terms of the repeat flyers, we’re very happy with the amount of repeat flyers. I think once someone’s gone on Blade over one time, kind of two, going forward, I believe the numbers going back to exception is actually about five times, once they’ve gotten past that from the second point, second trip. And then Will can give you some other views on repeat usage.
Will Heyburn: Yes, we’re not going to give sort of specific numbers, but what I’ll say is that everything that we track, the number of new customers that we’re adding every quarter, that’s increasing substantially year-over-year, the actual number of customers is increasing. The cost that we pay to acquire those customers is going down. And we’re seeing, when we measure in cohorts of newly acquired customers, we’re seeing those cohorts, when we measure over the same period of time, flying more as we continue to retarget folks to fly again. And that’s the most important input right to our lifetime value of the customer model is how many times can we get those folks to fly. So the marketing team has done a fantastic job, making sure that we do continue to take share from ground. We get people flying again and again, and we get people buying our airport passes, which for $795 a year, you can be flying for as low as $95 a seat. And now you’re beating Uber X most of the time if you’ve got that airport pass. So really excited to see the metrics going the right way. Won’t be sharing kind of metric level CPAs and LTVs, but everything’s moving in the right direction.
Itay Michaeli: Terrific. That’s all very helpful. Thanks.
Operator: Thank you. One moment, please, for our next question. Our next question comes from the line of Jon Hickman with Ladenburg Thalmann.
Jon Hickman: Hi. All my questions really have been asked and answered, except is the earn-out from the medical side, is that over now or is that going to continue?
Will Heyburn: This year is the last year of the earn-out.
Jon Hickman: So there will be some – again in Q4?
Will Heyburn: Yes, we’ve been accruing it during the year, and it’s been added back to EBITDA. This is related to the transaction. So you’ll continue to see that accrual just for the next quarter. It’ll be paid in cash in the next year, but you won’t see it again.
Jon Hickman: Okay, thanks.
Operator: Thank you. This concludes our analyst Q&A. I will now turn the call back over to Lee of Blade. 
Lee Gold: Thank you. We’re going to start by taking a few questions from our say [ph] Q&A platform. We received a number of questions and we’re going to combine those that have similar themes. Our first question is, how defensible is Blades mode, such as your air rights and first mover advantage?
Rob Wiesenthal: Lee, I’ll take that. And I appreciate the question. I appreciate the opportunity to deal with to answer questions from people on the safe platform. We built this company to create the ecosystem from urban air mobility in all the key markets in the world. And infrastructure is a key part of that, because whether it’s helicopters today or electric critical aircraft tomorrow, if you do as many flights as we do, and our New York airport service is the largest operating urban air mobility effort in the world right now in terms of number of passengers, you need places to aggregate your customers, excess luggage and safely get people on their aircraft and turn those aircraft time and time again really quickly, sometimes in five minute turns. And in New York City, the biggest market we have, you have the Blade terminal on the east side, the Blade terminal west side. We in fact expanded where we actually have it dedicated to parkers and an arrival lounge on the west side. And that is exclusive in terms of however long the operator is going to be there. They’ve been there for over 38 years. And then we also have kind of geographic exclusivity, I would say, where you have certain terminals where you just can’t build another facility. So we believe our competition is going to have to go through general aviation or find other means of dealing with their passengers. If you want the rule put, you need your own dedicated space. Obviously, what I mentioned in Europe with needs, it’s a concession agreement that allows people to fly from Monaco to Nice. So when you think about people connecting in Nice, that is a competitive mode as we have that concession from Monaco to Nice where we can actually save an incremental 40 minutes for people to land and then go straight to new gate by doing security helicopter side, so to speak. So this is a core strategy going forward. And as we move from helicopters to electric vertical aircraft, this is something that the competition in electric vertical aircraft and we’ll be using electric vertical aircraft. So, I want to view this as competitive. That’s going to be something that’s going to be important, and something that has real strategic value that you can’t capture in kind of quarter-to-quarter numbers.
Lee Gold: Thank you. We also had a few questions on shareholder value. What is Blade doing to bring value to shareholders? And what are some reasons that shareholders shouldn’t divest given the performance?
Will Heyburn: Great question. A couple of thoughts on this. This quarter in particular demonstrated that our platform works. It can generate free cash flow and positive EBITDA the right scale. And at the end of the day, the most basic way we can increase shareholder value is by making money. And that’s exactly what we’re doing. This is our number one focus, and as discussed earlier, we’re committed to building on this great progress and we really all believe that the best is yet to come. Second, we’re in a fortunate position where we have more cash than we believe we’ll need to execute on the organic growth plan. And we do see, as Rob talked about earlier, significant opportunity for M&A with a focus on ways to diversify and enhance the profitability of our Medical business. And what I say is, even if owning a small number of aircraft makes sense financially or could help us win a really important customer, we’d consider that as well. We’re constantly evaluating opportunities in this genre. But what I say is the bar is extremely high to ensure that any acquisition will be immediately accretive.
Rob Wiesenthal: I’ll add on to that as well. Outside safety, our number one priority is creating value for our shareholders and our employees period. Our stock price does not reflect accurately the value of these assets. I think that is clear not only when you take a look at some of the parts valuation, or if you just take a look at the fact that we’re adding cash to our balance sheet with free cash flow this quarter. I think we’re going to continue adding value by kind of very considerably expanding these routes and taking advantage of our addressable market and our existing routes, and also really executing against some of these bolt-on acquisitions that are accretive day one, that are kind of, in our mind, low risk and do not require incremental overhead that can utilize our shared service platform on the cost side. So what we got to do is keep executing and keep this path to profitability going that we can only control. We control, and then the share price will then reflect that ultimately.
Lee Gold: Our last shareholder question is, what is the updated timeline for EVA deployment? Any update on beta technology?
Rob Wiesenthal: We’re very excited about how quickly the certification process is going, and in fact, I think you’re going to be seeing a number of tests very soon in major metropolitan areas, including our own here in New York. And I think that will catalyze investor interest. I think it will catalyze industry interest. And again, the reason why our transition to EVA is so important is that it’s not that it’s going to get you to the airport any quicker, it’ll still be about five minutes, and it’s not going to be that it’s going to be that much cheaper. It’s because it’s quiet. Mission free is also great to get the public and stakeholders behind it, but quiet is the unlock to allow you to open more landing zones. And any pair of landing zones is a brand new business. All right, so we have east side, we have west side, visibility land at Wall Street. If we had incremental landing zones in Manhattan, we believe the growth could be exponential. Same thing goes for Europe and Canada. And that’s why we’re excited about EVA, that ability to unlock two places to land. If I can have a landing zone that you can walk across the street to, that’s a hell of a lot more valuable than one you have to either jump in a cab to get to that’s five or ten minutes away.
Lee Gold: This concludes our question-and-answer session. Thank you for joining the Blade Q3 2023 earnings release.
Operator: Ladies and gentlemen, thank you for participating. This concludes today’s program, and you may now disconnect.